Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to today's Titan Machinery, Inc. Third Quarter Fiscal Year 2014 Earnings Conference Call. [Operator Instructions] Hosting today's conference will be John Mills of ICR. As a reminder, today's conference is being recorded. And now I'd like to turn the conference over to Mr. John Mills. Please go ahead, sir.
John Mills: Thank you. Good morning, ladies and gentlemen, and welcome to Titan Machinery's third quarter fiscal 2014 earnings conference call. On the call today from the company are David Meyer, Chairman and Chief Executive Officer; Peter Christianson, President; and Mark Kalvoda, Chief Financial Officer. By now everyone should have access to the earnings release for the fiscal third quarter ended October 31, 2013, which went out this morning at approximately 6:45 a.m. EST. If you have not received the release, it is available on the Investor Relations portion of Titan's website at titanmachinery.com. This call is being webcast, and a replay will be available on the company's website as well. In addition, we are providing a slide presentation to accompany today's prepared remarks. We suggest you access the presentation now by going to Titan's website and clicking on the Investor Relations tab. The presentation is directly below the webcast information in the middle of the page. Before we begin, we'd like to remind everyone that prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. The statements do not guarantee future performance and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of Titan's most recently filed 10-K. These risk factors contain a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statements. Titan assumes no obligation to update any forward-looking statement that may be made in today's release or call. [Operator Instructions] The call will last approximately 45 minutes. David Meyer will provide highlights of the company's third quarter results, a general update on the company's business, then Mark Kalvoda will review the financial results in more detail, and Peter Christianson will discuss the company's segment operating results and its fiscal 2014 annual revenue, net income and earnings per share guidance ranges, along with its outlook modeling assumptions. Then we will open the call to take your questions. Now I'd like to introduce the company's Chairman and CEO, Mr. David Meyer. Go ahead, David.
David Joseph Meyer: Thank you, John. Good morning, everyone. Welcome to our third quarter of fiscal 2014 earnings conference call. As John mentioned, to help you follow today's prepared remarks, we've provided a slide presentation, which you can access on the Investor Relations portion of our website at titanmachinery.com. If you click on the Investor Relations tab on the right side of the page, you'll see the presentation directly below the webcast in the middle of the page. If you turn to Slide 2, you will see our third quarter fiscal 2014 results. Our revenue for the third quarter was $588 million, a slight increase compared to the same period last year. Our sales for the quarter reflect the challenges in the agricultural and construction industries, which we have discussed on previous calls and will update on today's call. Pretax income was $10.1 million, and our earnings per share were $0.27. While our higher-margin Parts and Service business performed well in the third quarter, this was offset by lower equipment sales and lower equipment margins due to pricing pressure in both industries. On today's call, we will review the performance of each of our segments. In addition, we will discuss agricultural equipment sales, the strengths of our Parts and Service recurring revenue and [indiscernible] margin pressure that's affecting our industry. We will update you on our equipment inventory strategy and discuss revised fiscal 2014 guidance and modeling assumptions. Now I'd like to provide some more color on each of our industries that are key to our business. On Slide 3, we provide an overview of our agricultural industry. In our footprint, anticipated annual crop production has been impacted by several factors. As we discussed on our last call, 52% of U.S. corn and soybean prevent planting occurred in Titan Machinery footprint, reducing our production by 2.6 million acres. Also our fall harvest is now completed with most field preparation completed as well. Regarding our Eastern European footprint, favorable fall conditions allowed our customers to complete their harvest and allow them to plant their fall crops. USDA forecasts are projecting large crop carryover approximately 1.9 billion bushels of corn and 170 billion bushels of soybean for 2013, which is reflected in lowered global commodity prices. It's important to understand that the Eastern Corn Belt, which is outside of Titan Machinery footprint, grow the higher production yields in the U.S. and our footprint in the Western Corn Belt produced average crop yields. Our new U.S. Farm program has been in the legislative process since the beginning of the year. Many people were expecting a final vote earlier this year. However, the final plan is unclear at this time, and the final vote has not been set as of today. Completing the new farm program will give farmers better visibility to plan their business going forward. As a reminder, the current production year is covered by the existing farm program. The Ag equipment industry is experiencing price increases in advance of Tier 4 final pricing, which is affecting overall equipment sales and is also compressing our equipment margins as we have not been able to realize full pricing in all the transactions across all product offerings. The industry continues to experience pressure on used equipment prices as a result of the lower commodity prices and the current plentiful supply of used equipment in the industry. We continue to focus on managing our used equipment inventory. Now I'd like to turn to the Construction segment of our business. On Slide 4, we provide an overview of the construction industry and our markets. The conditions in the third quarter were very similar to the second quarter as the sluggish economic recovery continues to impact the construction industry. Excess equipment inventories continued to impact the industry through the third quarter and are expected to continue into the first half of calendar year 2014. Until industry inventories are in line with end-user demand, we will experience compressed equipment margins. With our expanded distribution and large geographic footprint, there are different drivers within the 11-state geography we cover. This diversification demonstrates one of the positives we achieved through scale. In the Upper Midwest, agricultural activity and the ongoing build out of the Bakken adjacent oil reserves and related infrastructure continue to support the construction industry. The positive third quarter construction same-store comps we achieved are reflective of some early signs of improvements in our core CE equipment offerings. An increase in year-to-date housing permits reflect the recovery in the housing industry, which has been at historic low levels. Third quarter housing permits throughout the majority of our footprint are up year-over-year, which is an early indicator of demand for our medium and light equipment product offerings. We continue to see growth in rental equipment demand, which is aligned with industry forecast. In fiscal 2014, we have increased the size of our rental fleet by 41% to capture a larger percent of this opportunity throughout our footprint. And now turning to Slide 5, I'd like to provide an update on our Construction segment. The initiatives we outlined in our second quarter earnings call to improve our construction business are now in place. They include: We established the organizational platforms to leverage specific expertise across our distribution footprint; we made key personnel changes, which included new hires to oversee construction operations, as well as new senior managers for our aggregate, rental, industrial and government organizational platforms, along with major account managers; we are implementing the process to improved utilization of our expanded rental fleet. As we previously mentioned, we increased our fleet by 41%. We are focused on increasing sales volume per location through leverage operating expenses and drive operating margins; lastly, improving inventory management by adding centralized oversight and control. As we enter our fourth quarter, we are beginning to see early signs of these initiatives are starting to have positive effects on our Construction segment. These include our same-store sales increase of 6.4% in the third quarter. We continue to improve our inventory position in our Construction segment. We believe we have the organization placed [ph] to be well-positioned in fiscal 2015. While we are not satisfied with our recent results, we're confident in our long-term outlook. We have a proven operating model and a well-established footprint of agriculture and construction dealerships in the U.S., as well as international presence in the Eastern Europe. Now, I'd like to turn the call over to Mark Kalvoda, our Chief Financial Officer, to review our financials in greater detail.
Mark P. Kalvoda: Thanks, David. Turning to Slide 6. Our total revenues for the fiscal 2014 third quarter increased slightly to $588 million. The 3.2% decrease in overall equipment sales from our Agriculture, Construction and International businesses was primarily due to the industry headwinds that David just discussed. The equipment decrease was fully offset by the strength in our recurring Parts and Service revenue. We also grew rental revenue on a quarter-over-quarter basis due to our expanded Rental Fleet. On Slide 7, our gross profit for the quarter decreased slightly to $93.6 million. Our gross profit margin was 15.9%, a decrease of 30 basis points compared to the same quarter last year. The decrease was primarily driven by equipment margin of 7.9%, which was below our expectations due to industry conditions impacting both new and used equipment margins. This was a 130 basis point decline from equipment margins up 9.2% in the third quarter of last year. Also impacting gross margin was a lower utilization on our Rental Fleet compared to the prior year. Lower equipment and rental margins were substantially offset by a shift in gross profit mix to our higher-margin reoccurring Parts and Service business. Gross profit from Parts and Service for the third quarter of fiscal 2014 was 55% of overall gross profit compared to 47% in the third quarter of last year. This performance illustrates the stability and reoccurring aspect of our Parts and Service business in a softer equipment market. Our operating expenses as a percentage of net sales in the third quarter of fiscal 2014 were 12.7% compared to 11% for the same quarter last year. The increase in operating expenses as a percentage of revenue primarily reflects lower fixed operating cost leverage due to lower same-store sales for our Agriculture segment, higher expenses related to expanding our Construction and International distribution networks, as well as higher occupancy costs associated with facility improvements to support growth of our higher-margin Parts and Service business. Our overall interest expense increased 30 basis points, which was driven by higher equipment inventory levels. Peter will be discussing our inventory strategy in more detail later in the call. Our pretax income was $10.1 million or a pretax margin of 1.7% compared to pretax income of $23.8 million and a pretax margin of 4.1% in the third quarter of last year. The quarter-over-quarter decline primarily reflects lower company equipment sales and margins, as well as higher operating and interest expenses. Earnings per diluted share for fiscal 2014 third quarter was $0.27 compared to earnings per diluted share of $0.66 in the third quarter of last year. Our effective tax rate for the third quarter was 42.8%, and we are expecting it to be approximately 41.6% for the fourth quarter. The increase in our effective tax rate is due to projected losses in our lower taxed entities in Europe. On Slide 8, you will see our results for the first 9 months of fiscal 2014. Our revenue in the first 9 months of fiscal 2014 was $1.52 billion, an increase of 7.3% compared to the same period last year, reflecting growth in all 4 revenue streams for this period. Turning to Slide 9. Our gross profit in the first 9 months of fiscal 2014 increased 6.9% to $251.1 million. Our gross margin was 16.5%, down 10 basis point from the comparable period last year as lower equipment margins were primarily offset by a shift in mix to higher Parts and Service revenue. Our operating expenses increased 170 basis points, primarily reflecting the factors I discussed earlier. In the first 9 months of fiscal 2014, our earnings per share was $0.43 compared to $1.27 in the same period last year. Turning to Slide 10. We provide an overview of our balance sheet highlights at the end of the third quarter of fiscal 2014. We had cash of $113.4 million as of October 31, 2013. Our inventory level was $1.2 billion as of the end of the third quarter compared to $929 million as of the end of fiscal 2013. Of the $247 million inventory increase, approximately $44.5 million was from acquisitions. New inventory, including acquisitions, increased $215.8 million from the end of fiscal 2013. And our used equipment inventory, including acquisitions, increased $7.9 million from the end of fiscal 2013. Peter will provide additional color on our equipment inventory. Our Rental Fleet assets at the end of the third quarter were $149 million, which is up $43 million compared to the end of fiscal year 2013, but remained consistent with our second quarter. The Fleet increase from the end of fiscal 2013 was primarily in our newly expanded footprint in Colorado, New Mexico and Arizona. As of October 31, 2013, we have $160 million available on our $1.05 billion floor plan lines of credit. Slide 11 gives an overview of our cash flow statement for the third quarter of fiscal 2014. When we evaluate our business, we look at our cash flow related to the equipment inventory net of financing activities, with both manufacturers and other sources, including non-manufacturer floor plan notes payable, which are reported on our statement of cash flow as both operating and financing activities. When considering our non-manufacturer floorplan proceeds, our non-GAAP net cash use for inventories was $41 million in the first 9 months of fiscal 2014. Our GAAP cash used for inventories was $287.4 million in the first 9 months of fiscal 2014. In our statement of cash flows, the GAAP reported net cash used for operating activities for the first 9 months was $107.3 million. We believe including all equipment inventory financing as part of our operating cash flow better reflects the net cash flow of our operations. Making these adjustments, our non-GAAP adjusted cash used for operating activities was $12 million. Now I would like to turn the call over to Peter to discuss the Agriculture, Construction and International operating segments in more detail, our inventory management strategy to discuss our fiscal 2014 annual guidance. Peter?
Peter J. Christianson: Thanks, Mark. On Slide 12, you'll see an overview of our segment results for the third quarter. Agricultural sales were $459 million, a decline of 4.1%. We generated Ag pretax income of $10.1 million compared to $23.8 million in the prior-year period. As David and Mark mentioned, the primary factors impacting our Ag segment results were lower equipment sales and margins. Turning to our Construction segment. Our revenue was $109.9 million, up 15.8%, which reflects higher same-store sales, as well as acquisition growth. Industry conditions remain challenging for this segment of our business, which created pricing pressure, compressing our equipment margins. The pretax loss of $3.1 million was primarily the result of lower margins and increased expenses associated with recent acquisitions. As David commented, we're executing on our key initiatives to improve this segment of our business. In the third quarter of fiscal 2014, our International revenue was $40.3 million, a 42.7% increase compared to the prior-year period. This increase reflects the acquisitions and new store openings. Our pretax loss for International was $1 million compared to a pretax income of $1.4 million in the same quarter last year, reflecting costs associated with building our distribution network and ramping up operations. It's important to keep in mind that our International business is still in the development stage, and we're establishing our international operations and believe this business represents an additional structural component of our long-term growth strategy. Now I'll turn it to Slide 13. You'll see our segment results for the first 9 months of the year. Ag revenue growth represents acquisition growth. The decrease in our Ag pretax income reflects our lower equipment margins previously mentioned and an increase in our floor plan interest expense. Our Construction segment revenues represent acquisition growth, offsetting negative same-store sales growth for the 9-month period. Construction pretax loss reflects lower equipment margins and higher rental and floorplan interest expense, in addition to the increased expenses associated with our recent construction acquisitions. Our International segment 9 months results reflect the same factors I mentioned regarding our third quarter segment overview. Turning to Slide 14. This shows our same-store results for the third quarter of fiscal 2014. Our overall same-store sales decreased 4.5%. The Agricultural same-store sales decrease of 6.5% reflects the industry headwinds David discussed earlier, as well as strong prior year same-store comps of 26.4%. Our third quarter fiscal 2014 construction same-store sales increased 6.4%, reversing the trend in the first half of this year, showing early signs of the impact of our key initiatives that David discussed. Our international same-store sales decreased 6.9%, reflecting the impact of lower global commodity prices. The lower commodity prices resulted in lower farm income for the crops sold this year and also resulted in the delay of a portion of the sale of crops as farmers wait to market their crop. For the third quarter of fiscal 2014, overall same-store growth profit decreased 5.4%. This decline in each segment primarily reflects the lower equipment margins as discussed earlier. Slide 15 shows our same-store results for the first 9 months of fiscal 2014. First 9 months same-store sales decreased 1.7% compared to the prior period -- prior-year period, and same-store gross profit decreased 0.9%. For modeling purposes, it is important to remember that we calculate same-store sales by including stores that were with Titan for the entire period in which we're comparing. In other words, only stores that were a part of Titan for the entire 3 months of the third quarter of fiscal 2013 and the third quarter of fiscal 2014 are included in the third quarter same-store comparison. In the third quarter of fiscal 2014, a total of 9 locations were not included in our third quarter of same-store results, consisting of 3 agricultural stores, 4 construction stores and 2 international locations. For the first 9 months of fiscal 2014, a total of 23 locations were not included in our first 9 months same-store results, consisting of 6 agricultural stores, 8 construction stores and 9 international locations. Turning to Slide 16. I'd like to provide an update on our equipment inventory strategy. Moving from left to right on the graph, you're seeing the inventory level at the end of the last 5 years. Next are the inventory levels for each quarter of this year, including our projected year-end inventory level. Finally, on the right side of the graph is the targeted year-end inventory for fiscal 2015, representing a $250 million reduction in inventory, excluding acquisitions and new store openings, compared to the end of this fiscal year. Although our projected inventory decrease will be approximately $90 million in the fourth quarter from third quarter levels, we did not achieve results in line with our long-term strategy this year. Orders placed during the first half of this fiscal year, combined with unanticipated lower same-store sales in the back half of this year, impacted our projected year-end inventory levels. Given our visibility into the current market conditions and our current inventory levels, we're in a position to affect our ordering process, promote presale activity and aggressively market our used equipment to achieve our targeted reduction of $250 million by the end of fiscal 2015, demonstrating a significant change in inventory stocking levels. We believe this reduction in equipment inventory levels will put us on track to achieve our long-term inventory goal of a 3x turn, as well as improving our cash flow and strengthening our balance sheet. Slide 17 shows our fiscal 2014 annual guidance. Given the factors we've discussed in our prepared remarks, we're updating our annual guidance -- updating our annual revenue, net income and earnings per share guidance. We now expect fiscal 2014 revenue to be in a range of $2.15 billion to $2.35 billion. We expect our annual net income attributable to common stockholders to be in the range of $11.6 million to $15.8 million, resulting in earnings per diluted share range of $0.55 to $0.75, based on an estimated average diluted common shares outstanding of 21.1 million shares. It's important to remember that historically, our fourth quarter is our largest equipment revenue quarter. And given the market conditions we have experienced this year, it's harder to predict year-end buying activity from our customers, which has a meaningful impact on our fourth quarter results. Our modeling assumption supporting our guidance are as follows. We expect our Ag same-store sales to be in the range of negative 10% to negative 5% compared to previous guidance of negative 2% to positive 3%. We're maintaining our construction same-store annual growth to be in the range of negative 2% to positive 3%. Our equipment margins modeling assumption for the full year are now projected to be in the range of 8% to 8.5%, compared to the previous range of 8.6% to 9.1%. We're modeling annual rental dollar utilization to be approximately 30%, which is within our previous range of 30% to 32%. This concludes the prepared comments for our call. Operator, we are now ready for the question-and-answer session of our call.
Operator: [Operator Instructions] And we'll take our first question from Steve Dyer with Craig-Hallum.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Just curious if you could talk a little bit about the acquisition environment. I know that's always been a kind of a key part of the strategy. Given the tougher environment, are you seeing any change, whether it be in valuations or availability of dealerships? And has your philosophy about that changed at all?
David Joseph Meyer: Well, right now, Steve, we're really focusing on improving the operations in our stores. There's definitely -- I see an increased pace of discussions in all the dealer principals out there. So we think long-term, we've got a big opportunity, a long runway of acquisitions out there. There has been some pricing throughout this year. Some of these acquisitions have been going at some pricing a little higher than we're comfortable with. So we wanted to make sure we keep discipline in that pricing. So I can say we really focused our efforts as of late just really on the improvement of our stores and really watching for future opportunities here on the acquisition front, which we feel is, coming ahead, will definitely be there.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. If I could focus on the construction side. Rental utilization sort of expectations there, I think, have been bumped down a little bit the last 2 quarters. Is that a function of kind of a higher denominator, in other words, buying more rental equipment to rent? Or is there something else structurally there that's kind of giving you trouble in terms of getting that utilization up?
Mark P. Kalvoda: I think our rental utilization, if you look at it, is down a little bit from last year, down a little bit from what we expected. And that really has to do with the push that we put in this year. We increased it about $45 million. We put that all -- most of it down in that Southwest region. We're new to that area, and it's really just a function of being kind of new to that area and not getting the full utilization that we kind of initially expected in that footprint. But we believe long-term, it's a really good area for rental for us, and we'll do well.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Do you see materially different utilization rates there versus some of your more established locations?
Mark P. Kalvoda: Yes, because of the ramp-up that's going on down there, it's lower than what are -- others are currently. But it is ramping up.
Steven L. Dyer - Craig-Hallum Capital Group LLC, Research Division: Okay. And then lastly for me, and I'll hop back in the queue. Operating expenses continue to tick higher, even in light of the kind of the challenging top line. Is there -- is a lot of that fixed? Or sort of what leverage do you have that you could pull there, assuming that this remains a little bit tough for a while?
Peter J. Christianson: We're looking at -- we'll continue to look at ways to improve our operating margins, Steve. And we will be looking very closely at our expenses as we move forward and give updating to you on that on our next call.
Operator: And we'll take our next question from Brett Wong with Piper Jaffray.
Brett Wong - Piper Jaffray Companies, Research Division: First, I'd like to just get into the inventory a little bit. You expect a significant decline in fiscal '15, and I was wondering if you could provide some more color on what aggressively marketing your equipment would be and how that impacts pricing and margins?
Peter J. Christianson: Well, we've been aggressively marketing our used equipment now, and we want to continue doing that, as well as getting a stronger presell campaign. And like I mentioned in our comments that we now know what the market conditions are, and we can affect our ordering of inventory going into this cycle. If you look at a year ago and you look at what the commodity level pricing was coming into this fiscal year 2014, the market was completely different where the leveling -- where the level of commodities were at versus where we're at today. And so we can affect our ordering bank coming into this next year cycle. So we feel confident we'll achieve that target of reducing our inventory $250 million.
Brett Wong - Piper Jaffray Companies, Research Division: And, I guess, do you expect that reduction to come at the expense of pricing at all?
Peter J. Christianson: Well, the more than we can achieve success with our presell, that will help us with our margins. And as we increase velocity on the inventory, that should help us with margins as well.
Brett Wong - Piper Jaffray Companies, Research Division: Okay, thanks. And then looking at your Parts and Services with a softer equipment market out there is -- do you expect Parts and Services to continue to grow as a percent of revenue, kind of looking forward?
Peter J. Christianson: We've talked about that being a rather stable revenue source for us, and it's proven out that way this year. And so as we look forward, we see that remaining rather stable going forward.
Brett Wong - Piper Jaffray Companies, Research Division: And just one last one for me. Just on the rental utilization. Do you think that the current rental utilization rate is a good run rate moving forward? And if not, where do you see that going? And around when should we expect higher rates?
Mark P. Kalvoda: I think so at 30% this year, what we're talking about, I think going forward, we should see some improvement next year. Our target in which we kind of started the year out talking about is around that 35%. So I think somewhere between that 30%, 35% is certainly where we'd be targeting for next year.
Operator: And we'll take our next question from Rick Nelson with Stephens.
N. Richard Nelson - Stephens Inc., Research Division: I'd like to follow up on the equipment margin pressures. If you could provide some color as to where that more severe pressures are occurring, Ag, Construction. And then is it a new or used equipment?
David Joseph Meyer: Well, Rick, to start on the Construction side, I think that was pretty well discussed here in the last couple of quarters, from an energy standpoint, just an overabundance of equipment, and I think there's a lot of competitive pressures to move that through the system. And probably more on the new side of the business than is on the used side. We see actually a little bit of strengthening on the used side in the Construction sites. But we turn to the Ag side, as the manufacturers have been rolling out the Tier 4 technology in your high horsepower tractors and combines, significant price increases. And we're just finding it very difficult to pass, get full price realizations from our customers, considering the size of those price increases. And I think at the same time, we're trying to balance your growing market share, aggressive revenue, at the same time maintain these margins and have been putting into some -- these price increases into the marketplace. So I'd say that's going to be on the new sites. Actually, on the used side of the business, I think the Ag economy is still good out there, and we're seeing fairly stable used equipment prices, especially on tractors. But there is a lot of used equipment out there that needs to be put through the channel. So to increase the turnings from last year, I use stuff, like we may sacrifice slight margins on there to move it to the system on the used size of the business, especially used combines.
N. Richard Nelson - Stephens Inc., Research Division: Also interested in the inventory decline that you're targeting for next year. What does that assume about overall demand, I guess, in both segments and same-store revenue? Would that be expected to be down, given the revenue or given the inventory decline?
David Joseph Meyer: Well, we're not prepared to give guidance for revenues on our fiscal '15 yet. But I think in all of the case, when you out there and look at some of the manufacturers over there projecting for North America sales in the big equipment stuff from -- we're going to watch that, and spend a lot of time and really forecast, but we really want to put our inventory in line with what we think the market's going to do next year. And we can really give -- our plan is to give you a full guidance on that on our first quarter -- our year-end earnings call in April.
N. Richard Nelson - Stephens Inc., Research Division: Okay, got you. And depreciation reduction going away at year end, if that goes as scheduled, how do you see that affecting the fourth quarter? Any pull-forward? And what might happen related to that next year?
David Joseph Meyer: Well, we're not sure what's going to be out there for next year. As a year ago, we didn't know what we're going to have this year. A lot of this stuff was announced after the end of the year. So I think there's still yet to see from that, Rick. But I think the nice thing is there's a lot of income carry forward into this year from last year for a lot of our Ag producers. So my challenge check with our [ph] stores is some pretty good activity going on right now, both from, I think -- there's a good year for most of the farmers this year. And then in addition, those are some nice tax exempts this year. What we're going to have next year, we'll find out. But regardless, there's not a lot of basis left on a lot of our customers' equipment right now because of 4, 5 years of this accelerated depreciation. So we think just a number of years ahead of us, just to build that basis up in their equipment fleets. And if you talk to most of these producers, they are lenders, they're the tax people, they really want to be -- have full bases on most of our equipment. So we think that's going to be a positive for many years in front of us.
Operator: And we'll take our next question from Peter Prattas with Cantor Fitzgerald.
Peter Prattas - Cantor Fitzgerald Canada Corporation, Research Division: You've been hurt by a number of things this year, of course, weather being one of them as well as the inventories, and Tier 4, and whatnot. I'm just wondering, from your perspective, can you rank for me which ones you think have been more pervasive for you? And rank, perhaps, which ones you think will turn around for the better in the next little while?
David Joseph Meyer: Well, we'll start with -- I think one of our biggest challenges is we acquired a number of construction equipment, huge shipments into some really big markets that are pretty much a big -- total rebuild. And so we're in the middle of that. So I think we've really put a good organization in place, some really good improvements, some good people, also the stores. So I think that that's been a really big challenge, but I think we've got some huge opportunities on the construction side of the business. So I guess I'll talk about Ag a little bit. Definitely, if you look at where commodity prices were at the beginning of the year and where they are today, especially corn, from a settlement standpoint of our growers, that's a big item. So if you add that and, at the same time, you're seeing the pricing with Tier 4 A and Tier 4 B. Going through the channel, if you the add of 2 of those together, yes, that's really a good headwind in that sector, even though overall the agriculture is pretty good right now, but between the combination of those 2 right now, there's just a little bump in the road.
Peter Prattas - Cantor Fitzgerald Canada Corporation, Research Division: Okay. And then just my last question. Despite the challenges in your footprint, it's been a pretty decent year for Ag equipment across most of the U.S. So presumably, we're going to have a bit of headwinds with lower crop prices heading into next year. I'm just wondering, how do you alter your strategy, I guess, in a softening demand environment?
David Joseph Meyer: Well, first thing is that we really need to take a really hard look at the inventory as you're moving from what could -- conceivably you could call what we've had as a seller's market for the last couple of 3 years migrate into -- could be a buyer's market. So they really expand a lot of presell out there. We think that that really accelerate the used equipment turns out there in the system is one. We're in control of our orders out there, so you really want an on-time manufacturing or get those shipments in as closely as you can to the date that you need them, have locked up customers on those deals when the unit comes in; you may want to call them presale. Then also we have the traits presold ahead of time. So, probably adding a little more central control, an oversight in the whole inventory process, which we pretty much have in place right now today. So between the combination of all of those and just really manage your business and really focus on the used equipment turns, focus on not seeing an interest on any new equipment, if you can focus on those measures, we can be very successful. And as it migrates into what you might all call a buyers market out there.
Operator: And we'll take our next question from Mircea Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I guess, my first question is on presell. You highlight that as something that should help drive inventories a little bit lower. My understanding is that usually you need the OEM to help you with some incentives. Are you starting to see CNH get a little more aggressive in that end?
David Joseph Meyer: Well, I think they have been, Mig. Still, I think if you look at all throughout the industry, I think they have been. So I think in our conversation with the manufacturing stuff, I think that's definitely going to be a big driver as we're going ahead, and I think it's a good business. And the nice thing about it is our customers like that. They get the latest machine, the latest technology. And so I think that one of these deals is a win-win for the distributors, it's a win-win for the manufacturers, and it's a win-win for the customers. So yes, I definitely think that's going to be a big part of our business going ahead.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Sure. But I mean, correct me if I'm wrong, but we're talking about discounting to some extent this equipment if it's presold, rather than bought off the lot, right? So how did that jive with the price increases that we're trying to put through for the Tier 4 final? That's the part that I'm struggling with little bit.
David Joseph Meyer: Well, I think that everybody is aware that the manufacturers come out with marketing incentives on both inventory units and units on presale. So it depends on how you structure this. But regardless without expanding on what the manufacturer does is the dealership and how we manage our sales people, and how we'll manage our customers and how we approach the marketplace, the same way as -- and we've got a number of our stores are very, very good at this, not only pre-selling that new piece of equipment, also the next trade in, sometimes the trade after that even before that new piece gets shipped. So, I think it's -- identifying these best practices, these stores are really successful in doing that, leverage across all our stores. And at the same time, you understand that as you talk about new models, and a lot of the technology and some of the improvements and whether it be fuel economy, whether it be different cabs, or the different kind of GPS systems, some of these things come with a newer models. But with that, the manufacturers do put presell incentives out there for both the customer and the dealers to enhance that presold business.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. And then if I may ask a question about service. If I look at the last 3 quarters, we've seen some year-over-year margin compression in each one of these quarters. And I understand that weather can sometimes play a part of it. But can you give us a little more color here on service margins? And how we should be thinking about service margins going forward?
Mark P. Kalvoda: Yes, Mig. Mark here. Just kind of looking back, its at -- the quarter 64%. Last year, we ended the year at 64%. I mean, if there was and you look before that, it's actually increasing somewhat. We don't -- that's been fairly stable for us. We don't see any kind of -- it may blip up and down a little bit within -- between the quarters, but overall, that service margin has been very stable for us, and we believe it'll be stable going forward.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. And last for me is on International, which, I recognize has been a big opportunity. But also, we're starting to see Ukraine becoming increasingly volatile from a political standpoint. How are you managing this risk? And given the events over there, how are you thinking about scaling your investment going forward?
Peter J. Christianson: Well, we're keeping a close eye on what's happening over there, Mig. And of course, the biggest industry in Ukraine is agriculture. And so whichever direction this ultimately goes, whether it's towards the European Union or towards the Russian trading block, in any event, they're going to need to have a -- or they will have agriculture as their primary industry, and we need to watch that closely. And we're still in the early stages of our investment in Ukraine. So what I mean by that is we have operating facilities in Kiev, and we're online to do a store opening in the Veneto [ph] region. We haven't started anything in the other regions, which we've been given as territory. And so we'll keep a close eye on what's happening on those events to see the ramifications of that on our business.
Operator: And we'll take our next question from Neil Frohnapple with Longbow Research.
Neil Frohnapple - Longbow Research LLC: I understand you haven't given guidance yet for FY 2015. But can you just help us directionally? I mean, do you guys believe this year is the earnings trough? And will you be able to offset potential end-market weakness next year with company-specific initiatives, and improve CE profitability, I mean, can you help us out directionally?
Peter J. Christianson: Really, we'll be talking about that on our next call, on our fourth quarter call, when we give an update on what we see. As we gain better visibility into what we see coming into fiscal '15, we will share those comments with you on our next call.
Neil Frohnapple - Longbow Research LLC: Okay, great. And then looking at the equipment gross margin, 7.9% in the quarter, are you guys confident that this is a bottom given the market conditions? Or do you think that there could be a little bit further deterioration of Ag equipment sales continued to worsen from here?
Mark P. Kalvoda: Well, I think just, again, not talking about next year but just going into the fourth quarter, so we've given that range of 8% to 8.5%. And year-to-date, we're at, like, 8.4%. So, I mean, we see some tough markets here still in the fourth quarter of this year. And again, as Peter said, as we get out into our fourth quarter call, we'll comment on next year.
Neil Frohnapple - Longbow Research LLC: Okay. And then just another question maybe for you, Mark. With regard to the higher operating expenses, you guys have been calling out with regard to the newly acquired acquisitions. And, I think, Mark, you had mentioned about upgrading facilities for Parts and Service. Are you guys running out of capacity there in some of your facilities and just trying to get understanding of -- when are some of these expenses going to be behind us? Or is this kind of a new run rate of the business?
Mark P. Kalvoda: So a couple of different pieces to that operating expenses, especially when you're looking it as a percent of sales. So one piece is just the, what I'd call operational deleveraging. So if your same-stores are going down, you've got the fixed expenses that you're now, are a higher percent of the sales that are out there. So that in an environment where your same-store are going down, you're going to see expenses as a percentage of sales, everything else equal going up. A couple of other things we talk about these new stores coming on. We brought on a lot of these construction stores, low-volume construction stores in the past 1.5 years. As they pick up sales, and we're starting to see them do that, as they pick up sales, and their expenses as a percent of sales go down because their sales are driving up, that should actually help us and go the other direction. As far as the facility improvements, I think there's always some opportunities out there with certain stores, certain dealerships that are kind of -- they could use more capacity as far as bigger shops and things like that. But I think that will ramp down a little bit here into the next year as we kind of look at our CapEx budget. But year-over-year, and again, this is to support that Parts and Service business. We're not afraid of investing in that higher-margin recurring revenue side of our business.
Operator: And we'll take our next question from Tom Varesh with M Partners.
Tom O. Varesh - M Partners Inc., Research Division: In Canada, Rocky Mountain dealerships that sells CNH equipment has experienced similar challenges as to the ones you guys are. However, what we've seen appear is the main competitor has not experienced any of those challenges. Is there anything happening at the OEM level, whether it's from a product perspective or from a marketing program perspective that is hindering what you guys are doing at the dealership level?
David Joseph Meyer: No, I don't think so. I think if you look at the product side of the business, at the end of the day, that's really what's going to drive your business. I think what a lot of people initially will argue that our actual full combine is probably the premier combine out there in the marketplace, forward drive tractors, again, our quadtrac, and there's nothing out there that's going to rival that in the marketplace. After saying all that, I think we've got some things coming, just the recent introduction of that row-crop forward drive tractor from Case IH. Huge excitement about that from our customers. We recently introduced CVT transmission in our high horse power row crop tractors. Talking about tracks in our low crop tractors, which we don't have right now through we're going to see that. I think, as projected, we're going to see some old models out towards the end of calendar year 2014. So from a product standpoint, great products out there. So I'd not really -- I wouldn't say that. I think we're representing really a good products out there in the marketplace and then great product -- parts and service and then some really good heritage legacy with the brands and some very loyal customers, Tom.
Tom O. Varesh - M Partners Inc., Research Division: Is there anything from a program standpoint that may not be different at CNH level, but is the competition doing anything differently that is adding increased pressure? I'm just trying to reconcile why like Titan and Rocky Machinery are having trouble in this marketplace, versus service that represents your main competitor who isn't. I'm just wondering if there's anything program-wise or, I mean, you're saying there's nothing other product side. So is there anything from an OEM programs standpoint that's impacting sales?
David Joseph Meyer: No, I wouldn't say that. It's kind of a funny year this year because the different manufacturers and their timing and the rollout of their Tier 4 final, even their Tier 4 and what quarter, what month that's happening in, what the build was prior to some of the Tier 4-B and some of those things. So we don't know what exactly the competition is doing out there. We can't see it. All I know is that we're comfortable with our products, and our relationship with our manufacturers, I think, is good. So, but this has been a funny year if you really look at what quarter and what manufacturer ship and what type of build in what months, and I'd say this is a little bit of a one-off year, just simply because of the variability and the different timing of the rollouts of the Tier 4 technology and the models and the pricing increases with those different various different models. It's definitely a unique year for that. Probably unprecedented, really.
Tom O. Varesh - M Partners Inc., Research Division: Okay. One last question for me, then. You mentioned you expect to see the inventory -- industry-wide inventory issues last to the next calendar year. Do you have a sense for -- and I mean, it's not something I'm going to hold you to, but is it like a middle of the year story that you project the industry might rightsize? Is it towards the end of the year where you get to the seasonally strong fourth quarter? What are your thoughts on the industry-wide inventory issue?
David Joseph Meyer: Well, just to clarify, we're talking about those comments are made in regard to our construction equipment industry. And I think it's fairly well discussed, both from the manufacturer's standpoint throughout the year that there's an overbuild of equipment on the construction side in calendar year 2013. And throughout this year, the major competitors have been liquidating their equipment in the marketplace, so we think there's still going to be a little bit of hangover in the next year. But I think we're starting to see the end of the tunnel on that. We're pretty soon that the supplies pretty much rightsized at the demand, and as we see some slight demand improvement, which we're seeing that business. I think we're just a little overhang on that and I think that's starting to rightsize here. And so to answer your question, we think earlier than later.
Operator: And we'll take our next question from Larry De Maria with William Blair.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Just curious, first off, on in your territory, specifically, how you're thinking about how your customers are thinking about planning attentions for next year in terms of crops and acreage. Obviously, it's still early, clearly. But I'm sure you're having discussions already, so I know that you think we've taken out about 2.5 million or 6 million acres from the prevent planting. So that will be the first question.
David Joseph Meyer: Well, I think it's a little early to tell exactly what's the growing texture, and some of the growers are locked into the rotations, what they have been doing, and they're going to be locked into some of their -- their seed purchases and some of those things. But one thing that has happened, though, there's been a lot more of land put into production, either land coming out of CRP or land improvements. So we're seeing that across our footprint, but there's definitely more acres being farmed, which, I think, is a positive for us. But as far as the majority of the crops you see in our markets are going to be corn or soybeans, so this depends on holiday mix, and that's going to be how they go ahead in the next year with that, and what they are going to be able to contract actually. Obviously, right now, the soybeans are a little bit more attractive than corn, but I mean, you're gonna still go back-and-forth saying, "Well, we do have some specialty crops in our markets," saying, "on River Valley, you've got sugar beets. You've got some -- you've got edible beans, you've got some of the small green crops and some of our more in northern markets." So -- but regardless, I think these guys will figure out there are some awful good markers out there, our customers are getting pretty smart, so I'm sure they're going to figure this out.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: So I guess -- that's helpful. I guess what I'm trying to understand is, are we going to recoup some of the prevent plant acreage, but we might lose some acres because of the crop economics, and we might shift to soybeans. So what would, net, in your territory would you expect an increase in acreage? Or decrease? Or maybe neutral? And if it's more soy versus corn, is that better or worse in terms of mix in your aftermarket?
David Joseph Meyer: Well, first of all, I think there's a lot more land getting farmed because of land coming out of CRP and also you're seeing the land improvement taking place. You're seeing tiling, you're seeing a lot of things going on to really to improve this land so you can farm more of it. So some of the problems last year, there was just wet. I think from that standpoint, I think a lot of the land that they couldn't farm last spring, right now, they're able to going and do tillage work to it, and unless we see just some 100-inches of snow or some really, really wet spring right away in the springtime, it looks like they're going to farm a lot of that land that was put into prevent plant last year. So in combination of being able to farm that and also the land is coming out of CRP, and also the -- from the land improvement there, yes, there's going to be a lot of acreage being farmed last year. I don't see a big difference between corn and soybeans. It's probably some of a little more wear parts, maybe there's a corn thing drags on and it'll follow a little bit longer. But other than that, I think we're going to see some type of normal mix. And I think that's will pretty much neutral to that.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Specifically on your order board, maybe you can just touch into some of the big buckets, I guess, mostly in the Ag side, where there might be year-over-year, the big buckets and it may help us balance whether or not the part of an Ag downturn versus your area specific weakness because of the issues, obviously, that are going on. And then also the cadence of the Tier 4 product launches for you guys. Remind us when the availability of the equipment is. And if you're maybe gaining share where you have an advantage versus losing share where your chief competitor, Deere, is obviously staggering the tractor rollout?
David Joseph Meyer: Boy, you're asking an awful lot there. But right now, with the inventory we have on hand right now, we think we've got some attractively priced equipment and a good mix going into the first half of next year. So there is a certain level of presell like consistent with previous years. But it's going to be really difficult to break out the different buckets. But this Ag -- our manufacturer, along with our main competitors, all Tier 4 B final is going to be rolled out next year, from what I can -- but different quarters within the year. But I think we're in good shape with our current inventory for the first half of the year.
Lawrence T. De Maria - William Blair & Company L.L.C., Research Division: Okay. And then finally, I guess, you talked about, I guess, maybe being back in the market for dealers. Have your capital allocation strategies changed at all given what's going on the market? Or it is -- it sounds like maybe people are coming to market more just than dealers and you haven't -- you usually you can just [ph] say more than opportunity over the next year or 2 to maybe buy more dealers as the price gets better for you?
David Joseph Meyer: I think we're a growth company, and I think part of our model is to have the liquidity in the balance sheet so we can do acquisitions. And I think nothing's changed there, and we're in a good position going ahead.
Operator: And we'll take our final question from Joe Mondillo from Sidoti & Company.
Joseph Mondillo - Sidoti & Company, LLC: , So I have question just related to the equipment margins. And I know we've covered this, but I'm just wondering what you sort of see normalized equipment margins when inventories finally normalize. And do you think we can see expanding margins next year if we see down -- flat to down sales?
Mark P. Kalvoda: I think just to kind of go back historically, I think we've seen it anywhere from that low-8s to up in the 11s. So I think somewhere in the middle there, I guess, is what you could kind of call a normal margin on the equipment side. And I think there's -- just when you have a changing market, when you've got a changing market, we're bringing in your used equipment and the market goes down, you've got some pressure on that equipment at the price that you brought it in at. So if you go into -- get to more stable markets, whether it's just flat or if it picks up and goes the other direction, that's where you see some of that momentum change in that equipment number or in that margin number. So and then as far as next year, we'll provide that guidance in what we see specifically for next year in April.
Joseph Mondillo - Sidoti & Company, LLC: So I guess what I'm tried to get at is you guys are obviously taking pretty good comp at year-end inventory. I imagine a lot of the rest of the inventory is going to be doing the same thing, if not doing it already. Do you think that, in that case, that we end up seeing pricing bottoming around now, and we actually see maybe an expansion in margin next year, even with sort of flattish sales?
Mark P. Kalvoda: I think, again, with the fourth quarter, we can comment on fourth quarter. And there, again, with the guidance we've put out there would infer that there would be some additional pressure on equipment margins in the quarter. And going into next year, we'll see, obviously, fourth quarter is our largest equipment quarter for us. We'll see what comes out of that. And as we gain visibility after we get through that busy sales cycle for us, we'll have some better outlook and visibility on next year.
Joseph Mondillo - Sidoti & Company, LLC: Okay. So you're only willing to comment on the next 2 months?
Mark P. Kalvoda: On our fourth quarter, yes.
Joseph Mondillo - Sidoti & Company, LLC: Okay. So I guess my next question had to do with the floor plan interest. Given what you're expecting to take inventory down next year, how do you look at that floor plan interest? I know there's some moving parts within that. Do you think we can get down -- back down to fiscal '13 levels in the floor plan interest? Or any insight on that?
Mark P. Kalvoda: Yes. So, obviously, with the inventory levels coming down, that would be a positive for it. And like you said, there's other factors in there, obviously, rates. And there's -- our floor plans are based on LIBOR for the most part and then kind of the non-interest-bearing percentages. So I would expect our noninterest bearing percentage maybe to come down a little bit as we slow down what's coming in from a procurement side. And we'll see what happens with rates. But overall, with the balance going down, as we stated $250 million from our year-end projection, it will be a positive to our floor plan interest expense. And a meaningful positive.
Joseph Mondillo - Sidoti & Company, LLC: Okay. And then lastly, I think we were all expecting the third quarter to be the best quarter for the construction. I know you've mentioned several things that have been weighing on that. What -- compared to the second quarter where you saw a smaller loss, what weighed on -- specifically weighed on the third quarter more so to create that larger loss sequentially?
Mark P. Kalvoda: Yes. What the third quarter -- looking at it over last year and even in the second quarter somewhat is just continued pressure on the margins -- on the equipment margins. And some of it is just working through some aged inventory as well to get our inventory in the shape that we want it for next year. So those are some of the pressures, and by far you saw sales starting to pick up. Utilization was a little bit off kind of what we expected on the rental fleet, but the equipment margins were the bigger driver of what happened in our third quarter. In some of that, of course, is the industry headwinds that are still out there on that side of the business that's compressing those margins.
Joseph Mondillo - Sidoti & Company, LLC: So did pricing decline sequentially? Because I'm just looking at -- it seems like the rental sales overall increased sequentially. So I would think that would help drive profitability.
Mark P. Kalvoda: Yes. So you're kind of talking 2 different things. So on the rental side, but we do have a seasonal high in the third quarter and expect a seasonal high utilization in the third quarter, which we did achieve. But we thought it would even be higher than that. Then when we do our depreciation on those pieces of equipment, we estimate the amount of use that's going to happen throughout the year, and we adjust the depreciation accordingly. So there was a higher depreciation tax or however you want to say it, higher depreciation charge that went through in the third quarter on higher expectation of utilization. So that did -- you'll see the margin compress somewhat on that rental fleet. But as far as equipment goes, equipment margins on the retail side, yes, there was further compression that we experienced on our equipment margins in the third quarter over what we experienced in the second quarter.
Operator: At this time, I'd like to turn it back to our speakers.
John Mills: All right. Thank you, everybody, for your participation on the call today and your interest in Titan, and we look forward to updating you on our progress on our next call. Have a good day, everybody.
Operator: And this concludes today's conference. Thank you for your participation.